Operator: Good morning. I will be your conference operator today. At this time I would like to welcome everyone to the CEVA Second Quarter 2010 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Mr. Richard Kingston, Director of Marketing and Investor Relations. Please go ahead, sir.
Richard Kingston: Thank you, and good morning, everyone, and welcome to CEVA’s Second Quarter 2010 Earnings Conference Call. This conference call will be conducted by Gideon Wertheizer, Chief Executive Officer of CEVA; Yaniv Arieli, Chief Financial Officer of CEVA, and I, Richard Kingston, Director of Marketing and Investor Relations. Gideon will cover the business aspects and the highlights of the quarter, followed by Yaniv, who will cover the financial results for the second quarter and provide financial guidance for the third quarter and fiscal 2010. I will start with the forward-looking statements. Today’s conference call contains forward-looking statements that involve risks and uncertainties, as well as assumptions, that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include financial guidance for the third quarter and fiscal 2010; general outlook for 2010; optimism about our licensing pipeline, royalty revenue, and increased design activities in 2010; optimism about our customers’ displacing TI and Qualcomm; optimism about market growth in LTE, home entertainment, base stations, set-top boxes, digital TVs, HD video, the Chinese TD-SCDMA market, and alternative WiFi connectivity devices and our position within them; and our customer production schedules and our ability to generate revenues from new products and technologies. The risks, uncertainties and assumptions include the ability of the CEVA DSP cores and other technologies to continue to be strong growth drivers for us; our success in penetrating new markets and maintaining our market position in existing markets; the effect of intense industry competition; the possibility that markets for our technologies may not develop as expected, or that products incorporating our technologies do not achieve market acceptance; our ability to timely and successfully develop and introduce new technologies; our ability to continue to improve our licensing and royalty revenue in future periods; and general market conditions and other risks relating to our business, including, but not limited to, those that are described from time-to-time in our SEC filing. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. With that said, I would now like to turn the call over to Gideon.
Gideon Wertheizer: Thank you, Richard, and good morning everyone, and thank you for joining us today. I hope you had the opportunity to review our press release with the financial results for the second quarter of 2010. Our revenue for the quarter was $10.6 million, which represents a 16% increase when compared to the second quarter of 2009. Revenue for the quarter was at the high-end of our guidance, and slightly higher than the previous record achieved in the first quarter. Royalty revenue for the second quarter of 2010 was $5.2 million, which was also a record high representing a 30% increase over the second quarter of 2009. This is the third consecutive quarter in which we have achieved record high royalty in our revenue. During the second quarter, we completed nine new license agreements. All of the agreements were for our CEVA DSP cores, platforms and software. Geographically, four of the license agreements were in the U.S., four were in Asia and one was in Europe. Target application for the license has concluded during the quarter are primarily basement processor for 3G and 4G handset, mobile broadband, base stations, Voice over IP gateway, digital TV and Blu-ray DVD. We are extremely happy with our achievement for the second quarter in relation to our licensing activity and our growing traction in basement market, including both market share and high-profiled quarter. The licensing agreement completed in this quarter reflect growing demand for advanced DSP technologies, particularly clearly in the mobile broadband markets with devices such as smartphones, tablets, laptops and other multimedia devices. Every device targeted at providing mobile broadband connectivity will require the inclusion of DSP technology. I would like to highlight few important achievements on the licensing front. Three of the new licensing agreements executed during the quarter were for leading EDGE DSP to CEVA-XC, which mark an outstanding achievement for our technology that is revolutionary and new. We have discussed in the past that the value proposition of the CEVA-XC, its ability to enable software modem or what is referable as Software Defined Radio SDR-capability, versus the common practice today of hardwired modems. A CEVA-XC base modem can support the main [ph] software, all the different varieties of wireless standouts, such as HSPA plus, LT, WiMAX, CDMA, GSM, WiFi and Mobile TV. We have also mentioned in previous calls that the pipeline for the CEVA-XC is strong, which eventually led to three agreements signed during the quarter. One of the agreements is with the French tier [ph] OEM that adopted the CEVA-XC for the next generation version of the LTE, the LTE Advance. As a reminder, we have now two sales tier OEMs that recently licensed our technology (inaudible), and our planning to design chips for their future smartphone and mobile broadband client. In the past, we explained that the OEMs are stepping forward to develop LTE technology by themselves rather than wait for merchant market chips, which are available once the market takes off for mass volume. By licensing directly to the OEMs, CEVA gets the recognition for its technologies, which may eventually lead to licensing of our technology directly to the semi-conductor companies in the future. Another noteworthy agreement is the licensing of the CEVA-XC to a key player in the base station market to be used for a software-defined chip capable of supporting the LTE and the 3G broadband all-in-one platform. The base station market, represents an incremental and lucrative market for CEVA, where we can leverage our technologies and traction in handsets. Moreover, with the addition of smaller form-factor base station products such as Pico cell and Femto cell, the overall market is sizeable. Another aspect of the second quarter licensing agreement is that four out of the nine DSP agreements were signed in China, with company aggressively targeting 3G and 4G mass deployment in the Chinese market. We are seeing a lot of design starts by established companies, as well as startups, financed by venture capital firms and the Chinese government. Also, China Mobile, the largest cellular operator in the world in terms of number of subscribers, is aggressively pushing 3G and 4G deployment of the China homegrown cellular standard, the TDS CDMA and the TDNT [ph]. In a few minutes, I will provide several data points about the Chinese market. Another aspect of our licensing activity during the quarter relates to the home entertainment space. As we have discussed in the past, we see the home entertainment space with products such as connected digital TV, set-top boxes and Blu-ray DVD, as an incremental growth engine. We also stated that we see our DSP taking the role in high-definition audio processing, such as DTS and Dolby, and starting next year also HD video processing. During the quarter, we signed an important strategic agreement with one of the largest players in the space. This customer used until recently its homegrown DSP engine in software, and now decided to switch to our DSP firmware, which provide software and hardware technology related to audio that leads to a more efficient use of customer-owned R&D resources. I would like now to share with you some important developments in the handset space which is our primary market. Our market share in the baseband space increased by 12% sequentially to 29%, which represents a 61% increase over the second quarter of 2009 in which our baseband market share was 18%. We are encouraged by this level of growth, which comes in light of 14% sequential market decline due to the seasonality according to iSuppli analysis. We should mention here that our royalty reporting is one quarter in arrears, so the Q2 2010 reporting reflects Q1 2010 shipment, a soft Christmas quarter that is seasonally weak. iSuppli also mentioned that the supplier focusing on the 2.5-G space were the best performers in the baseband market. Two of the three best performance mentioned in iSuppli report, Broadcom and Spreadtrum use CEVA DSP (inaudible). Furthermore Nokia recently announced new model of high volume low cost Smartphone. The C and X series are experience focus phones, which support media player, social networking, web browsing, camera, WiFi and other features. Among its compelling feature is a battery time of 6 weeks per charge versus one week that is commonly available. Based on the study published by Jefferies and Company, Nokia model C1, C2, C3 and X2 are all based on our customer DSP design wins. Also we discussed in the past that Samsung is expanding the use of our technology in the phone including its high profile Smartphone, the Galaxy S. During Infineon recent analyst day, the company provided interesting observation about the cellular landscape (inaudible) that Infineon has doubled its market share in the wideband CDMA, HSB 3G space from 7% in 2008 to 14% in 2009 whereas TI and Qualcomm both lost market share 5% and 2% respectively. In the GSM 2G space both Infineon and Broadcom market share went up 1% and 3% respectively in 2009 versus 2008. TI still owns 34% of the GSM market. However, based on TI's recent announcement its market share will decline where the market share for its main competitor Broadcom and Infineon will increase during the next 18 months, which will positively impact our royalty income. One last data point is with regard to the cellular activity in China. Will Strauss of Forward Concept expects 11% unit growth in 2010 globally but China is expected to have 23% unit growth. (Inaudible) supply the domestic 3G arena is forecasted to reach 110 million units by the end of 2014, which is 35% of the total handset market in China. China Mobile said it would spend about $6.6 billion to expand its 3G network and introduce new phones. It expects the number of TDS CDMA phones will grow seven times in 2010 versus 2009. These activities and forecast are substantiated by the significant line activity by large local startup we are witnessing in our design reach backlog and guideline. Before handing the call to Yaniv for financial guidance, I would like to make a few statements with regard to CEVA achievement in the first half of 2010. In general, business exceeded our expectation leading to a better than expected financial result. The licensing environment in handset and our strategic objective to target our CEVA-XC platform to the ground base of LTE and mobile broadband customer is progressing very well. Also our strategy to expanding to the home entertainment space has recently materialized with two tier 1 customers adopting us during 2010. On royalty front our market share in the handset space continues to expand where we are consistently taking market share from TI, Qualcomm and (inaudible). Royalty revenue for the first half of 2010 increased 31% compared to the same period of 2009 and our non-GAAP net income increased 38% for the same period. In light of this positive prospect, we are revising outward our annual guidance. In addition, our Board of Directors has recently authorized a new share buyback program of 42 million shares. This authorization is in addition to the previous buyback program of 1 million share that we completed during the second quarter. At this stage, let me hand over the call to Yaniv for financials and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll now review the results of operations for the second quarter of 2010. Revenues for the second quarter was $10.6 million at the high end of our guidance and 16% higher than the second quarter of 2009. The revenue breakdown is as follows; licensing revenue was $4.6 million reflecting 43% of total revenue, 7% higher than the second quarter of last year. Royalty revenue was $5.2 million, third sequential record high reflecting 49% of total revenue and 30% higher than the second quarter of 2009. Royalty revenue for the second quarter of 2010 also include approximately $0.4 million of catch up royalty on past shipments resulting from two existing customer in the consumer space. In the second quarter of 2009 we also recorded a catch up royalty of $0.9 million on past shipments resulting from a single customer. Excluding these two events, our royalty increased net on a year-over-year basis by 53%. Service revenues was $0.9 million which accounted for 8% of total revenues, down 3% compared to the second quarter of last year. Quarterly gross margin was 92% on both US GAAP and non-GAAP basis, approximately 5% higher compared to the second quarter of 2009 for which we recorded 87% and 88% on GAAP and non-GAAP basis respectively. As for the operating expenses, research and development expenses were $4.5 million for the quarter including approximately $140,000 of equity based compensation expense. Our sales and marketing costs were $1.8 million including approximately $100,000 of equity based compensation expenses and our G&A cost were $1.6 million including approximately $300,000 of equity-based compensation. Total operating expenses for the quarter were $7.9 million, which included an aggregate equity-based compensation expense of approximately $525,000, approximately 9% higher than the operating levels for the second quarter of 2009. Our total operating expenses for the second quarter excluding equity based compensation expense were $7.3 million reflecting approximately the mid range of our guidance and approximately 12% higher than the operating levels for the second quarter of last year. The expense increase in overall OpEx is associated partially with headcount increase in R&D, which should allow us to further leverage opportunities in the LTE and HD video markets as well as some timing of certain R&D grants repayment. U.S. GAAP operating margins for the second quarter of 2008 was 18% of sales and 151% increase from only 8% of sales for the same quarter of last year. Our non-GAAP operating margins for the second quarter of 2010, excluding equity-based compensation, increased significantly by 66% to 23% of sales compared to 16% for the second quarter of ‘09. Interest and other income for the second quarter of this year was $541,000. On the tax front, we recorded a tax expense of $313,000 or 11% of non-GAAP pretax income. U.S. GAAP net income for the quarter was $2.1 million, and fully diluted net income per share was $0.10. This compares to $2.3 million and $0.12, respectively, for the second quarter of last year which included a pretax capital gain of $1.4 million from our equity investment of GloNav to NXP Semiconductors. Non-GAAP net income increased by 59% to $2.7 million compared to the same period from the prior year, an all time record high. Non-GAAP fully diluted net income per share increased 50% to $0.12 per share compared to the same period in the prior year. Remember, those figures exclude approximately $0.5 million and $700,000 of equity-based compensation expenses for the second quarter of 2010 and 2009, respectively. Other related data. Shipped units by CEVA licensees during the second quarter of this year was a record 126 million units, up 93% and 3% from the second quarter of 2009 and the first quarter of 2010, respectively. Of the 126 million units shipped, 83 million units or approximately 66% are for handset baseband chips and reflect a slightly higher volume as compared to the prior quarter in which 81 million units were shipped. Also, of the 126 million units shipped in the first quarter, 105 million units were attributed to licensees currently paying per unit royalties and 21 million units were shipped by licensees or under a prepaid arrangement. This compares to 122 million units shipped for the fourth quarter of 2009, of which 101 million were attributed to per unit royalty payers and 21 million were attributed to prepaid arrangement. This is the same number, by the way, in the existing quarter. As for the June 3, 2010, we have 25 licensees shipping products incorporating our technologies, one higher compared to the previous quarter which is attributed to a customer that started to ship products in the consumer space. Pursuant to 34 licensing agreements, which is also one higher compared to the previous quarter. Of the 34 licensing arrangements, 30 are under per unit royalty arrangement and four are under the prepaid arrangement. As for the balance sheet item; as of June 30, 2010, CEVA’s cash and cash equivalent in balances and marketable securities and long term bank deposits reached a record high of $108.6 million compared to $106.7 million for the March 31, 2010. During the second quarter, we generated positive cash flow of approximately $3.1 million before taking into consideration $1.2 million associated and used for our share buyback activities during the quarter, in which we purchased approximately 108,000 shares at an average price of $11.2 per share. Our DSOs for the second quarter of 2010 improved to 48 days compared to 57 days for the prior quarter. Now from the guidance. Our guidance for the third quarter of 2010 is as follows; revenue is expected to be in the range of $10.3 million to $11.3 million. Gross margin is expected to be in the range of 91% to 93%. Operating expenses, including equity-based compensation expense, is expected to be slightly lower than the second quarter and in the range of $7.2 million to $8.2 million. Of our anticipated total operating expenses for the third quarter, about $0.5 million is expected to be attributable to equity-based compensation expenses. For our non-GAAP operating expenses is targeted to be in the range of $6.6 million to $7.6 million. Interest income net is expected to be approximately $450,000. Tax rate for the third quarter is expected to be approximately 12% to 14% similar to the past few quarters. Share count for the third quarter of 2010 is expected to be in the range of 22.2 million to 22.4 million shares. Our U.S. GAAP EPS is expected to be in the range of $0.09 to $0.11 per share and our non-GAAP EPS, excluding the $0.5 million of equity-based compensation expenses, is expected to be the highest we ever guided or achieved in the range of $0.12 to $0.14 per share. Now for the full year 2010 guidance. As Gideon mentioned earlier, the first half of 2010 results exceeded our expectation in terms of revenue growth and profitability. Our pipeline in royalty prospects are solid. We are, therefore, slightly adjusting upwards our annual guidance to reflect these prospects. Notwithstanding the very promising growth indicators for the second half of this year, we are still maintaining prudent practices with regards to the magnitude and timing of future royalty growth. Our revised annual guidance for this year is as follows. Total 2010 revenue is expected to be slightly higher in the range of $41.7 million to $44.7 million. Gross margin is expected to be in the range of 91% to 93%. Operating expenses, excluding equity-based compensation expenses, are expected to be – or including equity based are expected to be in the range of $30.3 million to $32.3 million. Our annual equity-based compensation expense is forecast to be approximately $2.2 million. And our annual operating margin expenses, excluding equity-based compensation expense are expected to be slightly lower and in the range of $28.1 million to $30.1 million. Net income – interest income net is expected to be around $2 million. Our annual tax rate expected to be about 13%, and our share count is approximately 22.2 million shares. That brings us to U.S. GAAP EPS in the range of $0.38 to $0.42 per share and in a non-GAAP EPS, excluding the $2.2 million of equity-based compensation expenses, forecasted is raised and currently expected to be in the range of $0.48 to $0.52 per share, compared to the $0.43 to $0.49 per share in our previous guidance. Operator, you could now open the session to Q&A.
Operator: Thank you. (Operator Instructions). Your first question comes from Gary Mobley with Benchmark Company.
Gary Mobley – Benchmark Company: Hi guys, congratulations on the good results. You guys mentioned in your prepared comments that you have now landed or signed two Tier 1 cellular baseband licensees. Based on that – based on what your potential penetration could be at those Tier 1 licensees, what do you think your cellular baseband share could rise to in three to four years time?
Gideon Wertheizer: Well, Gary, let me – it’s Gideon, let me first of all elaborate on these firstly. These are firstly OEMs and not semiconductor companies. We see a phenomena that OEMs are basically taking the lead in developing future technology or next generation technology as they rather to wait for merchant chips to be available supporting these sound cards. This is an interesting trend. I’m not – it’s hard to say at this point what will be the volume coming out of these adoption of the OEMs. There is a significant benefit in terms of qualifying our new designs on to the LTE and LTE Advanced, which I believe can further lead to semiconductor adoption of the technology for the merchant market chip. Now in terms of adoption of our technology in general of the overall market, I can – I mean we can reiterate what we have said in the past, if we – and we have I think good indications for this – that this 45% to 50% within the two – the next two, three years is achievable.
Gary Mobley – Benchmark Company: Okay, let me dig a little bit deeper into that. What is your definition of the Tier 1 cellphone OEM? Is it a top five OEM or is it a top eight or 10?
Gideon Wertheizer: Top five.
Gary Mobley – Benchmark Company: Okay. And I was hoping that you could shed some light on what’s your licensing pipeline looks like relative to recent past and as well what is mostly in the queue of potential license deals looking out of next couple of quarters?
Gideon Wertheizer: This is – this is a good question. First of all the pipeline is now comprised of lot of cellular baseband adoptions or interest. And it relates to the handset or the user equipment, hence it’s not just the handset. It’s mobile broadband in general. It include data cards and tablets and netbooks and all the different variants where you are going to see mobile broadband. We have in our pipeline a nice queue of infrastructure, companies that aim to go to the micro base stations, Picocells and Femtocells. In the consumer electronic, the HD audio, we have a nice pipeline. Here we are more selective in terms of focusing on Tier 1 OEMs to grow and we signed two, already we signed in June this year, two Tier 1 OEMs to use our DSP in the future consumer electronic products. So this in a nutshell what the pipeline looks like, user equipment, cellular infrastructure, and consumer electronic audio.
Gary Mobley – Benchmark Company: All right, thank you guys.
Richard Kingston: Thank you, Gary, and welcome on board. 
Operator: Your next question comes from Anil Doradla with William Blair & Company.
Gideon Wertheizer: Hi Anil, good morning.
Operator: Anil, your line is open.
Brian Nugent – William Blair & Company: Hi, it’s Brian in for Anil. You mentioned LTE user equipment. Can you just expand on that? And then it sounds like in LTE, this is kind of broadening your opportunity beyond handsets. Is that the right way to think about that and why is that?
Gideon Wertheizer: Yes, that’s the right way to look – to look into this one. LTE basically is a, I would say, a precondition for mobile broadband. LTE can provide you up to 150 megabit. By the way one of the agreement takes us to the next generation LTE, it’s called LTE Advanced that is capable to provide up to 1 gigabit per second. So the LTE basically open up categories for product. And I think I spoke in the past, or we spoke in the past of the – that overall market size is not anymore the 1.4, 1.5 – let’s say I am talking about the three years from now in handset. But it’s more or like 2.2 billion units that include all those mobile connected devices.
Brian Nugent – William Blair & Company: Okay. And then in the home entertainment market, now you talked about adding another Tier 1. Can you just talk about how many Tier 1 vendors you are working with and then to what extent are those vendors outsourcing now? Is it just a couple of applications or do you see that broadening more significantly?
Gideon Wertheizer: Well, that’s an interesting question. First of all, when it comes to the agreement that we signed this quarter, this is indeed the Tier 1 semiconductor company that’s used in the past its homegrown DSP for doing audio. And they decided to switch and not use anymore of their homegrown DSP and go to our framework or infrastructure of software and hardware and that’s going forward. So far, as I said, we are in a (inaudible) that we are trying to work with first tier companies. So far we have three companies that work with us and actively design based on our DSP in audio.
Yaniv Arieli: I would add to that Brain – this is Yaniv – that we also have if you recall design wins, at least two important ones in the application processor. So other than the audio side of consumer electronics, we are also now empowering cellphones in the application processor as well as tablets, netbooks and handheld devices for the video flash audio type of functionals. This is something that we did not have and we focused more in baseband in past, but we did have the design switch our shipping products in our production. So this is another factor to look at if you would exclude that from the baseband business, but call it consumer, which is application processor as well as a consumer-related product.
Brian Nugent – William Blair & Company: Great. And can you just talk about – I mean we are talking about handset share being what it is and increasing. Do you have the – can you kind of help us gauge what your market share might be outside of handsets and where that could go?
Yaniv Arieli: Yes, we were asked about that in the past as well. I think it’s a bit premature. I mean if you would have asked us three or four years ago when we had 3% market share in baseband, it would be almost a non-relevant type of question, because we were such a small player then. A year-ago at 18%, we already had a pretty firm outlook and plans of where we want to reach, and just the year after we are at 29% market share. Our goal in baseband is still is far higher what we want to achieve in the next three years or so, it could be in the 50% range more or less. If you look at all the other segments of the markets, these are much, much newer players and markets for us. So it’s the same when we compare us three years ago in the baseband when 3% didn’t mean too much. I believe that two or three – two years down the road, 18 months down the road when we have more significant shipments and numbers that we could evaluate a bit, we will be happy to give out some more color on the non-baseband type of modems – numbers. Gideon gives a lot of color or new segment for us, new opportunities for us, base stations, consumer devices, application processors, I don’t think we have yet the data – the sufficient data to come up with a well-defined numbers. I hope that we could do it in the near future.
Brian Nugent – William Blair & Company: That’s helpful. Thanks a lot guys.
Yaniv Arieli: Thank you. 
Operator: The next question comes from Matt Robison with Wunderlich Securities.
Matt Robinson – Wunderlich Securities: Congratulations. Talk a little bit about this transition to CEVA-XC and the move towards the – move kind of up the food chain to the OEMs. I know you guys for years have been – for lack of better words, sort of stuck in the Teak and TeakLite realm for most of your volume and we haven’t seen a lot of movement from this semiconductor companies to adopt the new architectures and then the software for – presumably the software associated with that. Do you see where the OEM started to use to license more – it seems like it is more of a clean slate and maybe a little less inertia to overcome in adopting a new architecture. Do you – at some point do you expect these OEMs to then push these the new architecture down the food chain to the merchant level so they can have multiple sourcing at the merchant level or do you expect the OEMs business models to simply be going into more of a full custom sort of foundry or a business model? I also have a couple of follow-up questions regarding the near term.
Gideon Wertheizer: Well, Matt – this is Gideon. First of all, we are asking ourselves why indeed the OEMs are adopting technology or stepping ahead and developing the modem (inaudible). One reason I mentioned because they need to be ahead. They need to push the next-generation standard. Another thinking which relates to the technology itself, the CEVA-XC for OEM is a perfect fit because it is software oriented. The OEMs are not capable or not specializing in developing all those hardware blocks that the semiconductor companies can develop. They cannot carry the cost of the take out costs which has now become significant, close to $1 million. They will satisfy the software level and this is what CEVA-XC also then to do. To your specific question, going forward I believe we will see a mix meaning product may be premium products, the chip itself is done by the OEMs or manufactured by the OEM through some of the semiconductor partner and merchant market that follows the guidelines of the OEMs.
Yaniv Arieli: Matt, let me add another aspect to your question. And if we count the number of CEVA-X which is the higher end, the newer type of DSP that are out there today, we have about 26 active customers that has licensed the CEVA-X. So you are right that for many, many years, the older generations peaked and then declined were the main source for revenues, but that has shifted when we look at the scope of the CEVA-X and going further of course the CEVA-XC, which is the highest and the best of breed for higher-end applications.
Matt Robinson – Wunderlich Securities: Thanks, Yaniv. And the – I guess, well, I got you, maybe you could give us the headcount and the cash flow number you quoted that is from operations. Can you confirm that and also give us a CapEx and depreciation? And then, Gideon, we heard yesterday afternoon and overnight from Broadcom and Infineon, and Infineon seemed to have real strong results and outlook commentary, Broadcom not so strong in the basebands for the June quarter but real strong outlook commentary. How does – and clearly the June quarter is what we are looking for is an indication of what you see from you on royalties for the September quarter. How should we look at that in light of your royalty expectations or are should we just – or is are there other customers that we should think would be driving things more in the September quarter royalty number?
Gideon Wertheizer: Yaniv, do you want to start.
Yaniv Arieli: No, go ahead.
Gideon Wertheizer: Well, here is the thing. I think you are right. We think that Infineon is doing well in the baseband space, maybe it relates to the Nokia ramp up that is expected. Going forward with royalties, I believe – here is what – how I see things. First of all, I think in the next few quarters, we are going to see continued growth in the quarter. I would say about $5 million. Now there is a step, a strong cue, we were in 2009 – 2008 in the range of $3 million. In 2009 we went to $4 million – $3 million to $4 million or $4 million in – starting from Q4 2009 we reaching to the $5 million and I believe that more power in our report in Q1 ’11, we will see another step in royalties. 
Yaniv Arieli: Step-up of course.
Gideon Wertheizer: Of course, step-up in royalties. I think we have a good indication that this is going to happen. This will be both in of course market share and dollar stocks.
Yaniv Arieli: And, Matt, by the way you could also pile these facts to the introduction of the new products we talked about, whether it is Samsung, whether it is Nokia, all these products are out now or later in the second half of this year. So all this together with the relatively good results in the wireless space for the customers and companies you mentioned should help us get to that new kick or higher royalty standard early 2011. But, in the meantime, we’ll of course increase the level that we are at and have been for the last three quarters. On the housekeeping question, we are 184 employees at the end of this quarter versus 183 in the last quarter. The operating cash, positive cash flow is $2.7 million, and both CapEx and depreciation at around $250,000.
Matt Robinson – Wunderlich Securities: Thanks gentleman. 
Yaniv Arieli: Thank you, Matt. 
Operator: The next question comes from Allan Mishan with Brigantine.
Allan Mishan – Brigantine: Hi, guys. Just a couple of quick ones. First, what would the royalty units have been if not for the $0.4 million catch-up?
Gideon Wertheizer: The overall instead of a 126 million units which of them we said that a 105 are paying royalties, I would look at 95 million units of paying royalties for this quarter, excluding the catch-ups. So all in all it is about $4.8 million and about 95 million units for paying royalty on top of that versus the 101 million paying units for the prior quarter which generated about $5 million. So if you do that analysis and you take the overall numbers that we mentioned earlier, we do have an increase in baseband business from 81 million to 83 million units which is positive and this is how we got the increased market share because the market went down 14%. On the other hand, we have the typical seasonality 18% decline in units and more or less in dollars from the non-baseband business which represented both Christmas, Q1, lower shipments and the environment. So those are the numbers if that helped out excluding the catch-up.
Allan Mishan – Brigantine: No, that is perfect. And then do you have a market share for the year for CEVA just for 3G baseband?
Gideon Wertheizer: No, I don’t think we have that type of analysis. Yes, we are looking at the whole baseband market. It is a bit tricky today because 2G if you look at Nokia’s new phone introduction which we discussed, the C series, the X series are all type of smartphones, they’re low-end or low-cost, but smartphone. So it is even difficult to compare a 3G to a 2G if you look at the phone functionalities these days. So we don’t have a specific breakdown. We do have for the overall baseband business which includes the two.
Allan Mishan – Brigantine: Okay. I mean, I was just – my own estimate would be let’s say in the 10% range and I do not know if you have a feeling whether it is a higher or lower than that.
Gideon Wertheizer: Well, just if you take what Infineon says that by the end of 2009 in 3G they had 14%.
Allan Mishan – Brigantine: Okay. So that would be higher than that.
Gideon Wertheizer: Not including the Samsung, not including Broadcom.
Allan Mishan – Brigantine: Right.
Yaniv Arieli: It should be higher but –
Allan Mishan – Brigantine: Okay.
Gideon Wertheizer: It is a bit difficult to assess and quantify. And, Allan, keep in mind that today 70% of the volume is 2G, I mean up to EDGE.
Allan Mishan – Brigantine: Of course.
Gideon Wertheizer: Only 30% is 3G.
Allan Mishan – Brigantine: Okay, thanks very much guys. 
Gideon Wertheizer: Okay, thank you. 
Operator: (Operator Instructions). Your next question comes from Warren Darilek with Morgan Keegan & Company
Warren Darilek – Morgan Keegan & Company: Hello, gentlemen, again a great quarter. A question on what would be the catalyst and/or timing of someone like a Qualcomm to use DSPs outside of their own investment there and what would be the economics for that catalyst of doing that?
Gideon Wertheizer: That’s kind of a one-million-dollar question when Qualcomm would – right now Qualcomm is using homegrown DSP. The homegrown DSP when it comes to LTE is not sufficient to run everything in the software and that’s the pitch that we are using for the CEVA-XC. So there’s a bunch of hardware to do. Will this be sufficient for them to switch to adopt outsourcing and go to the CEVA-XC, it’s hard to say at this stage.
Warren Darilek – Morgan Keegan & Company: Okay thanks. And also, is there any update on the first major android product using CEVA cores? Is there anything that could be said there?
Gideon Wertheizer: Well, Galaxy S is the Samsung high profile android based is in CEVA. And there are bunch of phones that we do, I don’t recall exactly the brand – the market brands of all these things. But Galaxy S is something that we heard a lot.
Warren Darilek – Morgan Keegan & Company: Thank you. 
Gideon Wertheizer: Sure, thank you. 
Operator: Your next question comes from Daniel Meron with RBC Capital Markets.
Daniel Meron – RBC Capital Markets: Hi guys. Congrats on the ongoing execution here. Nice work. 
Gideon Wertheizer: Thank you, Daniel.
Daniel Meron – RBC Capital Markets: Sure. Just a quick question, I might have missed it earlier. Were there any FX impact either in the top line or in the bottom line?
Yaniv Arieli: FX effects.
Daniel Meron – RBC Capital Markets: Yes.
Yaniv Arieli : No, we said in the past that we’re fully hedged for the rest of the year. And, no, we don’t have any FX there.
Daniel Meron – RBC Capital Markets: Okay. And considering the ongoing execution you’ve got here, I mean are you factoring any macro impact one way or the other or you’re basically basing it on what you’re seeing right now in the market?
Yaniv Arieli: No, I think we’re basing it on two elements; on the licensing front that we talked about earlier, it’s pretty strong pipeline of company, valuing the technology, and we see a lot of new designs. We mentioned that in Asia we had four Chinese companies signup in their technology. There is a lot of money spent in R&D. We don’t see (inaudible), the holding companies from putting resources for new R&D projects in our space, both the baseband and the newer markets that we discussed, that’s on the licensing front. And, on the royalty front, I think we’re getting pretty strong indications from – we’ve been asked about that in the prior question or two, we are getting pretty good indications about big semiconductor companies. Our customers, Broadcom, Infineon, Spreadtrum and ST-Ericsson to some extent they are doing quite well. And I think that as soon as the market picks up both in Q2, that’s just a typical seasonality forced the 14% decline they had in Q1 that should be the case both in Q2 and continue in Q3, we should benefit from the royalty front. So from that type of aspect we are pretty optimistic but as usual and you know us for many years still conservative until we see these reports and until we see the dollars flow in, we’d take a more conservative approach.
Daniel Meron – RBC Capital Markets: Understood, great. And then just again, since I joined in late, I missed third quarter and 2010 guidance. Can you just give me the top line and the bottom line headlines figures? We don’t need to go through the costs and all that, just the top and bottom line.
Yaniv Arieli: Sure. On an annual basis?
Daniel Meron – RBC Capital Markets: For third quarter and for 2010?
Yaniv Arieli: Okay. For the third quarter it was $10.3 million to $11.3 million with bottom line non-GAAP at $0.12 to $0.14, the highest ever guidance we gave. On an annual basis, we tweaked our top line to between $41.7 million to $44.7 million, but generally the much higher bottom line of $0.48 to $0.52 per share non-GAAP.
Daniel Meron – RBC Capital Markets: Great. This is pretty good numbers. Good luck. Thanks Yaniv and Gideon. 
Yaniv Arieli: Thank you.
Gideon Wertheizer: Thank you.
Operator: There are no further questions. I will now turn the call back to management for any closing remarks.
Richard Kingston: Okay. Thank you again for joining us today and for your continued interest in CEVA. We will be attending the following events in the coming months and invite you to join us there. The Oppenheimer Annual Technology, Media and Telecommunications conference, August 10 in Boston, and the Bank of America Merrill Lynch European Tech Conference, September the 1st in San Francisco. Thank you and good bye.
Operator: This concludes today’s conference call. You may now disconnect.